Operator: Good morning. My name is Chris, and I’ll be your conference operator today. At this time, I’d like to welcome everyone to the TimkenSteel Corporation Q2 2023 Earnings Call. [Operator Instructions] After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you, Jennifer Beeman, Director of Communications and Investor Relations. You may begin.
Jennifer Beeman: Good morning, and welcome to TimkenSteel’s second quarter 2023 conference call. I’m Jennifer Beeman, Director of Communications and Investor Relations for TimkenSteel. Joining me today is Mike Williams, President and Chief Executive Officer; Kris Westbrooks, Executive Vice President and Chief Financial Officer; and Kevin Raketich, Executive Vice President and Chief Commercial Officer. You all should have received a copy of our press release, which was issued last night. During today’s conference call, we may make forward-looking statements as defined by the SEC. Our actual results may differ materially from those projected or implied due to a variety of factors, which we describe in greater detail in yesterday’s release. Please refer to our SEC filings, including our most recent Form 10-K and Form 10-Q and the list of factors included in our earnings release, all of which are available on the TimkenSteel website. Where non-GAAP financial information is referenced, additional details and reconciliation to its GAAP equivalents are also included in the earnings release. With that, I’d like to turn the call over to Mike. Mike?
Michael Williams: Good morning, everyone, and thank you for joining us today. First, I’d like to thank our employees for their hard work and unwavering dedication to TimkenSteel. Because of their ongoing focus on safety and enhancing productivity, the company generated continued positive momentum during the second quarter. Thanks to these efforts, we realized sequential improvement in shipments and profitability. It’s worth noting that our consistent positive operating cash flow trend remains strong, allowing us to strategically invest in the growth of our business and deploy our capital allocation strategy, while maintaining a healthy balance sheet. As we progress on our journey to foster a culture deeply rooted in safety, we remain focused on bolstering machine guarding, fencing and our lockout/tagout programs alongside an array of comprehensive training initiatives throughout the organization. When it comes to the safety of our employees, we believe we can never over-communicate or over-trained anyone. One notable endeavor has been enhancing our job safety analysis training. Through this industry proven process, we map each job or task into individual steps, while identifying potential hazards and strategizing effective measures to mitigate these risks. This proactive approach empowers our team to carry out their responsibilities with a heightened sense of confidence, awareness and readiness, ultimately reducing the likelihood of accidents or injuries. To underscore our commitment to safety, we have invested approximately $4 million in various safety training and other investments through the first half of 2023. This allocation is part of our larger commitment, as we have allocated approximately $7 million for safety programs in 2023. Turning to our second quarter performance, we achieved sequential growth in net sales of 10%, driven by solid customer demand and base pricing. As anticipated, these results translated into improved profitability. We remain dedicated to sustaining this momentum and look forward to delivering on our commitments in the upcoming quarters. As anticipated, our melt utilization for the second quarter was approximately 75%. This rate included the impact of a few days of planned downtime to proactively complete maintenance on the furnace transformer. We are encouraged by the ongoing positive macroeconomic trends that bode well for our company’s growth in our targeted areas. Particularly promising is the continued upswing in electric and hybrid vehicle production, which represents a significant opportunity for us. Notably, our base sales in EV related products grew by 77% year-over-year. We have been awarded approximately 20 essential component parts for EVs from various customers, indicating our strong market presence. We anticipate that this momentum will persist and even strengthen as we continue to foster valuable partnerships with our customers. Given the market trend, we recently approved $5 million investment for 2 additional manufactured component machining lines to be installed at our facility in southwest Ohio in late 2024. This investment will broaden our EV components to customers and allow us to keep pace with the projected growth. Currently, approximately 6% of our mobile manufactured components portfolio is attributed to electric vehicle components versus internal combustion parts, and we anticipate that the EV mix will continue to grow in the future. In general, we experienced steady mobile shipments in the second quarter as the industry continued to see an easing of supply chain issues. However, we are staying close to our customers and suppliers who continue to work through raw material shortages and labor issues. Moving to our industrial products. We are benefiting from the expansion of the U.S. industrial supply base, particularly in support of major Department of Defense programs. In the second quarter, our industrial shipments increased by 9% compared with the prior quarter, reflecting strength in defense and mining sectors. Our energy shipments in the second quarter were relatively flat on a sequential basis. Concerns for weakening demand have slowed drilling activity. However, inventories remain relatively low for current and forecasted demand. We remain committed to our profitability improvement initiatives and work [ph] continues companywide to achieve our target of $80 million by 2026. Again, our actions focus on commercial excellence, manufacturing and reliability excellence, and administrative process simplification with a strong balance sheet as our foundation. I look forward to continuing our positive momentum into the second half of 2023 with an ongoing focus on safety, manufacturing excellence, customer service and advancing our strategic imperatives to drive sustainable through cycle profitability and cash flows. I thank our customers for their trust, our suppliers for their partnership and our shareholders for their continued support. Now, I’d like to turn the call over to Kris.
Kristopher Westbrooks: Thanks, Mike. Good morning, everyone, and thanks for joining the call today. As expected, TimkenSteel’s financial results in the second quarter included sequential increases in melt utilization, shipments and profitability combined with positive operating cash flow. We’re encouraged by this performance and the company’s outlook. Turning to the second quarter financial results, net sales totaled $356.6 million with net income of $28.9 million, or $0.62 per diluted share. Comparatively, sequential first quarter of 2023, net sales were $323.5 million with net income of $14.4 million, or $0.30 per diluted share. Net sales in last year’s second quarter were $415.7 million with net income of $74.5 million, or $1.42 per diluted share. On an adjusted basis, the company reported net income in the second quarter of $27.6 million, or $0.60 per diluted share. Comparatively, the first quarter adjusted net income was $20.8 million, or $0.44 per diluted share. Adjusted net income in the second quarter last year was $67.4 million, or $1.29 per diluted share. Adjusted EBITDA was $50.5 million in the second quarter, a 40% increase from the first quarter. This $14.5 million sequential improvement in adjusted EBITDA was driven by higher base sales prices on increased shipments combined with an increase in the raw material surcharge environment, compared with record adjusted EBITDA of $84.2 million in the second quarter last year, adjusted EBITDA decreased by $33.7 million in the quarter. This year-over-year decrease was reflective of lower shipments, given our finished goods inventory position as well as a market decline in the raw material surcharge environment, which was at peak levels during the second quarter of last year. Higher manufacturing and pension costs also contributed to the decline in adjusted EBITDA from the record second quarter of 2022. During the first and second quarters of 2023, the company had insurance recoveries of $9.8 million and $1.5 million, respectively. These recoveries related to the unplanned downtime in the second half of last year and have been excluded from 2023 adjusted EBITDA. Turning now to the details of the financial results in the second quarter. Shipments were 177,500 tons in the quarter, an increase of 4,600 tons, or 3%, compared to the first quarter of 2023. In the industrial end market, shipments totaled 78,400 tons in the second quarter, a sequential increase of 6,200 tons, or 9%. The sequential increase in industrial shipments was supported by an improving finished goods inventory position, driving the sequential increase in industrial shipments was steady demand across a wide range of sectors such as heavy equipment used in mining as well as strong demand for defense related products. Mobile customer shipments were 79,500 tons in the second quarter, a slight sequential decrease of 900 tons, or 1%. Shipments in the mobile end market represented 45% of the total portfolio in the second quarter, a 2 percentage point reduction from the first quarter as planned. Mobile customers continue to pull hard to support demand and replenish inventories. Shipments to energy customers totaled 19,600 tons in the second quarter, a sequential decrease of 700 tons, or 3%. Of our total second quarter shipments approximately 24,000 ship tons were sourced from third-party melt producers and then rolled, finished and shipped by TimkenSteel. Given improvements in our melt productivity, we anticipate a sequential decrease in shipments of third-party melt in the third quarter. Net sales of $356.6 million in the second quarter increased 10% sequentially. The sequential increase in net sales was driven by higher base sales prices and shipments. Additionally, contributing to the increase in net sales was a market driven 22% increase in average raw material surcharge per ton as a result of higher scrap and alloy prices. Base sales prices increased by approximately $100 per ton, or 8% on average in the second quarter across our end markets in comparison to the full year 2022 average. Turning to manufacturing. As anticipated, melt utilization was 75% in the second quarter, compared with 73% in the first quarter. Manufacturing costs increased sequentially by $6.8 million as a result of higher first quarter plant costs being recognized in the second quarter as inventory was sold. Additionally, we pulled forward $1.2 million of planned annual shutdown work into the second quarter from the second half of the year as the operating schedule permitted. Switching gears to income taxes. The company’s effective tax rate was 27% in the second quarter and 25% for the first half of the year. This higher-than-expected effective tax rate was primarily driven by non-deductible expenses. At this time, the company expects the effective tax rate for the remainder of 2023 to be approximately 25%. From a cash taxes perspective, we spent approximately $13 million on income taxes in the second quarter. Moving on to cash flow and liquidity. During the second quarter, operating cash flow was $13.3 million, driven by quarterly net income and insurance recoveries, partially offset by a use of cash to fund working capital requirements. This marks the company’s 17th consecutive quarter, generating positive operating cash flow. Capital expenditures totaled $8.1 million in the second quarter. The company now forecasts CapEx to be approximately $50 million in 2023, an increase from the previous $45 million guidance. The higher CapEx forecast includes down payments for 2 recently approved manufactured component machining lines, as well as new automated grinding and finishing investments discussed last quarter. From a share repurchase perspective, the company repurchased 650,000 common shares during the second quarter at a total cost of $11.4 million. As of June 30, the company had $52.2 million remaining on its share repurchase program. Since the inception of the program early last year through the end of June 2023, we repurchased 4.2 million shares at a total cost of $73 million. In total, these common share repurchases’ plus the 2022 and 2023 convertible note repurchases have resulted in a significant 15.5% reduction in diluted shares outstanding compared with the fourth quarter of 2021. The company’s cash and cash equivalents totaled $221.9 million and total liquidity was approximately $530 million as of June 30, 2023. As we progress forward, we expect the strength of our balance sheet, consistent cash flow generation, and positive business outlook to provide us the opportunity to continue to execute on our capital allocation strategy. This includes investing in profitable growth, maintaining a strong balance sheet, and returning capital to shareholders. Turning now to the outlook. From a commercial perspective, third quarter shipments are expected to modestly increase, supported by steady demand across our end markets, as evidenced by orders currently booking into the fourth quarter. Base sales price per ton is anticipated to remain strong for the remainder of the year, with fluctuations driven by changes in product mix. Operationally, melt utilization is expected to sequentially increase in the third quarter. Additionally, we’re in the process of completing our annual shutdown maintenance for the second half of the year, with an expected remaining cost of approximately $12 million. At this time, we’re planning for one-third of the spend in the third quarter and the remaining two-thirds of the spend in the fourth quarter, with the melt shop shutdown maintenance planned early in the fourth quarter. Given these elements, the company expects adjusted EBITDA to remain strong and operating cash flow to be positive in the third quarter of 2023. To wrap up, thanks to all of our employees who keep safety top of mind on a daily basis and help the company deliver a solid second quarter. We appreciate your interest in TimkenSteel and look forward to sharing our continued progress in the future. We’d now like to open the call for questions.
Operator: Thank you. [Operator Instructions] The first question is from John Franzreb with Sidoti & Co. Your line is open.
John Franzreb: Good morning, everyone, and thanks for taking the questions and congratulations on a good quarter.
Michael Williams: Good morning, John.
John Franzreb: I’d like to start on the demand profile. I was kind of impressed with the industrial growth in the quarter, you called out defense and mining. I’m curious about what that outlook looks like in the second half of the year. It would seem that could be pretty volatile. Are there any kind of changes in the demand profile in the second half versus the first half? And, I guess, you could also apply that to the mobile business. We seem to be seeing a lot of tick-up in the production rates versus what we’ve seen, say, three months ago?
Michael Williams: Sure, John. So, I think, the profile that we would expect to see would be modest increases in our industrial sales and some modest increases in mobile. But, I think, the larger part is going to come in industrial, particularly around the defense area or sector. So, I think, energy is going to be fairly flat quarter-over-quarter. So as the sales rates and the build rates continue to increase, we may also see some increased demand tied to potential UAW work stoppage with the automotive OEMs. So we’re going to watch that very closely and see how that develops over the next couple of months.
John Franzreb: Fair enough. And can you talk a little bit about your ability to track new business? I know that’s been part of the growth profile kind of an update on new customer captures.
Michael Williams: Yeah, I mean, I don’t know that we’ve had a whole lot of new customer captures. I mean, there’s always customers that come in and out depending on what product requirements they need. But what we continue to see is solid growth in the EV products that we manufacture. We’ve been informed of several uplifts by the automotive OEMs on various EV platforms that we participate in. We expect mining continues to be pretty solid in the industrial space, and then we expect the demand for defense products that we produce to continue to increase in the third quarter.
John Franzreb: Got it. And the changes of the lack of utilization of third-party producers in the coming quarter, what’s driving that?
Michael Williams: Well, I would say the predominant thing is that our melt utilization is increasing. So as you can understand, our internal costs are cheaper to manufacture than it is to procure it. So we expect to see margin improvement as we continue to ramp up our melt utilization and use our own melt for our sales versus third-party. There is also a second component there as well. We can only apply third-party melt, where it makes financial sense. So we’re working on some projects that could work out to be very positive for us. I’m not going to get into great details on those, because those are in the trial stages right now. But there’s some opportunities to maybe do a little bit product diversification with third-party melt. We just need to make sure that financially it makes very positive sense to do so.
John Franzreb: Got it. And one last question, then I’ll get back into queue. On the raw material spread looks like it was a little bit more of a headwind than we thought maybe 3 months ago, at least more than I was looking at. Can you talk a little bit about your expectations for that going into the third quarter?
Michael Williams: Yeah. I mean, again, scrap prices are somewhat, at times, very volatile. They change from month-to-month. So from a forecasting standpoint, it can become a little difficult. However, we do expect further compression on the spread in Q3.
John Franzreb: Great. Thanks, guys. I’ll get back into queue.
Michael Williams: Thanks, John.
Operator: [Operator Instructions] The next question is from Dave Storms with Stonegate Capital Markets. Your line is open.
Unidentified Analyst: Hi, everyone. Thanks for taking my questions. John stepping in for Dave here.
Michael Williams: Okay.
Unidentified Analyst: I guess you touched on melt utilization, could we see that 80% mark in Q3, what steps would it take to get there? And is an 80% average over Q4 still reasonable?
Michael Williams: I think in that the 80% to 84% is somewhat reasonable, I mean, we’re off to a pretty good start for the quarter already. We have 1-month over the quarter completed, and we’re seeing positive improvement from our 75% in Q2.
Kristopher Westbrooks: John, when you get into Q4, we do have our planned downtime, so we’re expecting to be down for about 10 days; that’ll be about 30,000 tons of melt. So I would expect that utilization rate to trend down in Q4 just based on the typical annual schedule.
Unidentified Analyst: All right. Got it. Very helpful. And with the 2 new machine lines, can you provide any additional color? How do you expect they’ll support the increasing demand going forward? Will they have enough, or do you see additional lines being open sometime in the future?
Michael Williams: Yeah, so the investment in those lines is directed specifically at the EV market. We’ve been informed by several OEMs that their demand for the EV components that we manufacture is going to increase. So we’re just aligning our capability with the demand with this investment. And what we will do – going forward, we stay close to our customers as we see opportunity with our customers for increased demand. We’ll make the appropriate investments to make sure we support our customers.
Kristopher Westbrooks: John to add to that, we do expect modest incremental revenue and EBITDA from those investments. And from a timing perspective, it’s likely going to be late 2024 once production commences on those assets.
Unidentified Analyst: Right. Got it. Thank you for taking my questions.
Michael Williams: Thanks.
Kristopher Westbrooks: Thanks, John.
Operator: We have no further questions at this time. I’ll turn it back to the presenters for any closing remarks.
Jennifer Beeman: I think that concludes our call today. Thanks everyone for joining and we look forward to updating you next quarter. Thank you.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.